Glennn Sanford: I think we're at the top of the hour. Jen, are we recording? Are we broadcasting yet? 
Unknown Executive: We are good to go. 
Glennn Sanford: Greg, I'll turn it over to you. 
Greg Falesnik: Awesome. Thank you, Glenn. I'll walk up here. Well, hey, everyone. Welcome to eXp World Holdings First Quarter 2021 Fireside Chat. For those of you who are in the auditorium of the EXPI virtual campus, please reference the current slide above. 
 To see all 3 screens, all you need to do is just hit the stage zoom button to the right of your chat box. To zoom into a specific screen, you can hit the plus icon above the screen. And if you happen to see no slides or a gray slide, go ahead and hit that Refresh icon at the top right-hand corner of the screen, and you should be good to go. 
 We'll do a brief Q&A session at the end of today's discussion. You can actually start asking your questions now by scanning the QR code with your phone or you can go to slido.com. That's S-L-I-D-O dot com, and type in the event code E-X-P-I. From there, you can submit a question. Or even if you want to give a thumbs up to a previously submitted question you would like asked, we'll take note of that and address those afterwards. 
 So now I'd like to just start off by reading some of the safe harbor statements. So please note there will be a number of forward-looking statements made today that should be considered in conjunction with the cautionary statements contained in the company's SEC filings. Forward-looking statements are subject to various risks and uncertainties that could cause actual results to differ materially from those statements. 
 Please see our filings with the SEC, including our most recent annual report and Form 10-Q for a discussion of specific risks that may affect our business performance and financial condition. We assume no obligation to update or revise any forward-looking statements or information. 
 So joining us today is Glenn Sanford, Founder, CEO and Chairman of eXp World Holdings; alongside Jeff Whiteside, the Chief Financial Officer and Chief Collaboration Officer; as well as Dave Conord, President of U.S. Growth at eXp Realty. So Glenn will start today's discussion with an update on eXp's business and overall strategy with some of the recent successes of the company, walk you through there. And then Jeff will run through the company's first quarter performance, highlighting some key operating and financial metrics. Dave will then provide an update on the driving factors behind these incredible results, which is primarily agent growth. And specifically, what is driving eXp's success with rapidly gaining market share in the U.S. I'll then kick off our Q&A session before opening up to submitted questions. 
 With that, I'll pass it over to Glenn Sanford, eXp's Founder, Chairman and CEO. Glenn? 
Glennn Sanford: Hey, Greg. Hey, everyone. Thanks for coming this morning -- or actually, of this afternoon. It's been a really exciting first quarter or so of the year, and you guys are here actually in -- those who are actually in-world, you're actually in the new EXPI campus where in just under 2 weeks, we're going to actually do our eXp Shareholder Summit. So this is a dedicated open access campus that you can actually access between now and then. It's being fitted out with lots of different breakouts. You may have looked through the navigation and saw a lot of the different spaces for various different activities that will take place during the Shareholder Summit, and we invite everybody to come back and to attend the various meetings, breakouts and other things that we'll be doing. It's going to be a really big event in the VirBELA campus here, the EXPI Campus. 
 So this -- obviously, you can review the Q. You've hopefully been following the company, understand the basic value proposition of the company, which really, we created the first truly cloud-based nationwide residential real estate brokerage in the history of residential real estate in the United States and beyond. We've now expanded to another 13 countries, and we've got plans to be in 20 countries by the end of the year. Michael Valdes who spoke at these events in the past, has been really galvanizing the growth into multiple markets. Last week, we launched into Colombia, and then we also had a eXp launch event in Cabo San Lucas, which was one of the first real-life events that have been taking place sort of in a post-COVID world. And one of the cool things about that particular event, and it's something to note, is that it was an entirely agent-led event. There was over 700 real estate agents, eXp agents and brokers from around the country as well as Mexico that all ended up in Cabo to actually talk about how to improve as an agent, grow their business, help eXp grow and then the -- we, as executives, actually all 3 of us on stage, were invited along with a number of other executives to the event. And I say invited because it wasn't actually an eXp Realty event. There's actually another agent-led event next week in Scottsdale, and then there's another large one, and there's many others going around the country that are agent-led. But then there's a big one that will be taking place in August in Dallas, where there will be thousands of people in attendance. 
 And in that, Tony Robbins will actually be attending. 
 And what's, again, interesting to note is that the booking and the bringing in of Tony Robbins was an entirely agent-led activity. And this really leads back to the agent value proposition. We turned over -- turned the agent, the real estate brokerage proposition on its head when we launched eXp Realty in 2009, in that agents are incented to help us grow the brokerage. So we don't have a large recruiting staff internally, we have a really significant concierge staff to help agents and brokers in all the life cycle of the business. But we, as an organization, have created the financial opportunities that go with attracting agents or recruiting agents, and by basically building some innovation around both the compensation through cash comp and then also equity comp in growing and being productive as an agent. 
 We're continuing to get traction in a number of different service offerings. The one that I continue to come back to because I think it's the most innovative. It has a lot of legs to grow in the short run is the Express Offers platform, and you can check that out at expressoffers com. But we continue to get traction from a number of buyers and sellers to actually transact on the iBuyer front without any capital risk from us. But more importantly, we're getting thousands of leads -- of listing leads into the hands of agents to go and potentially actually list, putting eXp Realty sign out in the ground to actually market those homes as fully marketed listings. And I really couldn't be more -- be prouder of our collective team. Even though we're 100% mobile and remote, we're tremendously collaborative and supportive of so many different initiatives, and that really has resulted in lots of different innovations taking place inside the company. 
 And a lot of this is all led from our NPS first position. So NPS, for those of you who are not aware, stands for Net Promoter Score. There's a lot of great books that have been written about Net Promoter Score. But between Net Promoter Score and our agile management structure, we're really designed as an organization to innovate and deliver services that agents are asking for without having to use a more top-down management style. So obviously, there's always a little bit of top-down, but we really foster innovation and collaboration all the way into our small, somewhat self-organized teams, to help agents and brokers just continue to generate the incomes that they do, to be able to build a business inside the business, and to ultimately create a retirement program inside real estate. 
 Of course, that goes all the way from the real estate brokerage side to things that are a little bit more innovative. We were the first company to build out a nationwide health care option for independent contractors with our partnership with Clearwater Benefits. 
 So all of this leads to leveraging also our enabling technology, VirBELA. Obviously, we're in here today. But we've been able to leverage and stand up and to innovate in so many different ways across the globe. We're able to quickly set up space, form teams, have them even be cross-country collaborative. So as opposed to most companies are -- they work with staff only in-country or standing up various parts of the business. We can actually work multicountry, multilingual, all inside this campus, and that's allowed us to stand up multiple enterprises and to actually convert existing legacy enterprises into more virtual enterprises. 
 SUCCESS Enterprises that we bought last year is now entirely virtual. We've just launched, and we haven't provided a lot of press around it, but we've launched our first co-work brand in the SUCCESS -- underneath the SUCCESS brand. It's called SUCCESS Space, and you can actually find out more information about it at successfranchise.com, but we also have SUCCESS Coaching, that's been stand -- stood up. We've got -- it's starting to be revenue producing. We've got a speaker's bureau. We've obviously got the magazine, digital, and then we've got a number of apps now that are either in the various app stores or about to go in the app stores for various parts of the SUCCESS Enterprise piece. 
 The -- we've been selling lots of events and lots of private events and private campuses on the VirBELA platform from the VirBELA team. That team is now about 185 people on the VirBELA team, including one really cool platform that is -- was developed generally basically from scratch inside of VirBELA, and that is the FrameVR.io platform, and there's a lot of cool innovations coming out of that. 
 So I'm throwing out a few URLs. Hopefully, you go back, listen to the audio, grab some of these URLs, type them in, check them out. They're actually really, really cool technologies. They have a lot of upside. I think a lot of innovation. We've got so much stuff in the XR space and VR space that is super innovative, and all of this is really the enabling technology that's allowed eXp to scale to where it's scaled. 
 So I think with that, let me turn this over to our CFO and Chief Collaboration Officer, Jeff Whiteside. 
Jeff Whiteside: All right. Thank you very much, Glenn and Greg. Welcome all to our first quarter 2021 earnings fireside chat. First page that you'll see here is a summary level of our performance, and we really delivered very strong performance in Q1. When you look at our key financial metrics, you look at -- one of our big ones is revenue. So our revenue in Q1 was $583.8 million, that's a growth of 150% (sic) [ 115% ] versus last year at this time. 
 Our gross profit was $53.5 million, that's up 91%. Net income was $4.8 million, and as you can see, that's favorable over 3,000% growth year-over-year. Adjusted EBITDA, $14.8 million, and that's a growth of 159% year-over-year. And finally, our operating cash flow was $40.6 million, and that is up 184% year-over-year. 
 So going to the next slide, we'll go into more details on our quarterly key metrics. It's a slight eye chart, but I can take you through this. So our key metrics -- what you're seeing here is you're seeing 2 categories. One is our operating metrics and one is our financial metrics. And pretty much what happens in our business as our operating metrics drive our financial metrics. Our operating metrics are the agent count, the units sold, the price per unit and the volume sold. So if you look at some of our numbers, we ended Q1 in 2021 at 50,333 agents, and that's versus 28,449. So our agent count was up 77% year-over-year. Our units sold was 73,878 versus 37,882, and that was up 95% year-over-year. Our price per unit was $332,000 on average versus $290,000. So as we all know, the market -- a lot of changes in the market, the prices have gone up. So our prices of what we sold in our company was up 14%, and our volume, which is a total sales volume of our units, was $25 billion, and that's versus $11 billion in Q1 of 2020, and that's up 123%. 
 So on the right-hand side. Our model is adding productive agents to the platform. It's driving unit sales, volume, growth commission, and we have at the bottom of our press release that our total agent count as of today or this morning, was at 53,000 globally. So we're growing very healthy, and we're going to go through that and kind of take you through some of the key growth areas. 
 Currently, as we know, the vast majority of our agents are in the U.S., and Dave is going to take us through the -- if you just go back one slide, please. Dave is going to take us through the U.S. and what's driving the U.S. But behind this is our global expansion that we've heard a lot about. And that -- down the road, that's going to drive significant incremental agent growth outside the U.S. in the future. But what you're going to see today, and I think what we saw in the quarter, was an extremely strong U.S. performance. And we saw that the whole second half -- once we got past Q2 of last year, Q3, Q4, Q1 has been fantastic from a U.S. standpoint. 
 So going down to the financial metrics. Our revenue, as you saw on the first page, was $584 million versus $271 million, so the growth is up 115%. And if you look at our numbers, and I'll show you on the next page, we're not going on there yet, but the next page is going to show you, we're very strong from a revenue and a growth standpoint, pre, during and post COVID. So the model was built and very strong before, and as we go down the road, you'll see some of the trends and we feel great about going forward. 
 So the cost of revenue was $530 million versus $243 million, and that gives us a gross margin. And so the gross margin in dollars was $53 million in Q1 versus $28 million in Q1 of 2020. And as a percentage, the gross margin was 9.2% of sales versus 10.3%. So a couple of things. One is that the $53 million of gross margin was a record dollar gross margin for our company. So this is the highest amount of gross margin we've ever generated in the history of the company. And what we all -- what we can see in the marketplace is that usually Q1 is a lower volume type quarter, historically, but a lot of things have changed. So with unseasonable increase in volume, that kind of resulted in a higher capping and a pressure on our gross margin percentages. So the percentages were down year-over-year, but the dollar volume was way up at $53 million. 
 And then SG&A, which is our costs, $49 million we spent versus $28 million. So how we look at that is we look at productivity. So as a percentage of revenue, our percentage of SG&A was 8.3% versus 10.2% last year, all right? So that gave us productivity gain. And as we scale, we're getting more and more productivity through our SG&A. 
 Operating income, $4.9 million versus $0.2 million last year. And our net income was $4.8 million versus $0.2 million of last year, and we've had positive net income each quarter since Q4 2019. The adjusted EBITDA number is kind of more of the -- it's a number that's described and we have a definition in the -- in all our documents. But basically, what we're doing is, how does the business really operate on -- from a cash standpoint and a noncash standpoint. And our adjusted EBITDA was $15 million versus $6 million. So we're up 167% year-over-year, and we have been positive on the EBITDA side since Q3 of 2018. 
 Lastly, operating cash flow. We generated $41 million in operating cash flow versus $14 million. The cash at the end of the period in the business was $104 million versus $44 million. So why this is important? And if you've heard me talk before, It's a huge positive for our business because positive cash flow -- this is positive cash flow after all the expenses, the investments and our stock buyback, we actually bought back about $34 million in stock in the quarter, all right? We've had that in place since January '19 to offset dilution. And at the same time, we have a 0 debt balance on the balance sheet. 
 So those are our metrics. And so -- and a couple of questions that came up today in terms of our productivity. So although eXp is a comparable agent productivity in national averages, as we -- if we compare our productivity, our agent productivity, year-over-year, the productivity was up 13% for our company year-over-year. 
 Now if we take a look at our growth trends in agents and revenues since Q1 2016 through Q1 2020. 2021, this -- you see the chart, it's a fantastic chart. eXp has had phenomenal agent revenue growth, all right? I will give you a bit of a shortcut on this, but I'll give you some -- to put our growth in perspective, this chart -- what this chart is showing you is that if I just take 2018, for instance, we did $500 million in revenue. We ended with 15,500 agents. 2019, we did $980 million of revenue, we had -- we ended with 25,400 agents. 2020, we did $1.8 billion, we ended at 41,300 agents. And so all the way coming to today in this quarter in Q1 of 2021, our agent growth year-over-year, as we -- as I've shown you, is up 77%. We're now at 53,000 agents and our total revenue was $584 million. So again, to put a little bit perspective in here, we did $500 million in the entire year in 2018. We did $584 million in the first quarter of 2021. 
 So consistent agent growth, consistent revenue -- delivering consistent revenue, consistent growth and consistent profitability. So very -- we're in a really great -- we feel very proud of what we've done across the whole business. We have a lot of -- we've talked a lot about our growth in the future areas. We talked about international, we've talked about potential commercial, we've talked about our technologies. 
 In this quarter, and really the story of this quarter and most of the last year, too, is really how strong our core growth in the U.S. is. And I'm going to introduce Dave Conord, who has 20 years plus in the real estate industry, and all the way from an agent to running large brokerages. So Dave runs our growth team. So I'd like to invite Dave up right now to talk about really what's driving it. Why are we so successful? Why are so many agents coming to us in the U.S.? And what's driving our success? So Dave, welcome. 
David Conord: Great. Thanks, Jeff. 
 All right. Welcome again to everyone. We're really thrilled about our accelerating agent growth. We've now outpaced prior quarters for 3 straight quarters. Coming off a record year in 2020 with over 5,500 agents added in Q1 alone, we carried that momentum into Q1 2021, and we doubled our gross agent adds, exceeding 11,000. 
 We focus on attracting independent brokerages and top teams to maximize revenue. We added to our base agent growth, 51 brokerages and 63 teams for more than $4.9 billion additional transaction volume in Q1. 
 So let's cover the primary drivers for our growth. The value we provide as a brokerage increases as we scale and attract more agents. Our agent growth model is also exponential in nature, which allows us to continually scale larger year after year. This network effect is driving our growth and increasing the value that we can deliver to our agents. As more agents join, the collaboration and knowledge sharing really has been incredible. 
 We're also committed to success at the highest level. Attracting producers and ensuring that their satisfaction every step of the way, from their initial onboarding to helping them build their businesses here at eXp. I spoke with one of our agents yesterday, who shared his path from closing $8 million when he joined eXp back in 2018 to closing over $100 million last year, and he's on track to double that this year. He credits access to other top producers through our platform as the key to its phenomenal business growth. 
 Lastly, our agent-centric value proposition focuses on collaboration, compensation and cloud-based tools, attracting some of the best agents in the country. Our steadfast commitment to our agents is really one of our strongest differentiators. 
 At eXp, we're very proud to be the most agent-centric brokerage in the planet. Our unique value proposition and cloud-based environment enables agents to work from anywhere, any time, freeing agents from geographical constraints and empowering them to collaborate with and learn from other top producers around the globe. 
 This innovative platform allows eXp to deliver a multifaceted compensation model and generous commission structure, differentiates eXp from other brokerages and empowers our agents with multiple ways to earn income and achieve their personal goals as they build their business. 
 And our community is unparalleled. The nature of our collaboration and compensation models encourages agents to actively support each other and share best practices, challenges and successes. Through eXp World, our agents connect daily with their peers, and they develop relationships that transcend that virtual environment. We know that a brokerage is more than just a place to hang your license. At eXp, our agents and our staff are family, and we're proud of the strong and diverse community that continues to grow here. 
 And now I'll hand it back over to Greg for Q&A. 
Greg Falesnik: Thank you, Dave. Appreciate it, everyone. Here, let me just pop up here. Up here. 
Greg Falesnik: So I'd like to kick it off with a couple of questions. And maybe the first one can be directed at Dave and the other speakers can jump in as they'd like. So the first question, I'll kick it off with is, what are you hearing from agents in terms of what they are experiencing with the continued supply-demand imbalance? I know that the market's been red hot. But just curious to know if you have any thoughts there, Dave. 
David Conord: Yes, every kind of market represents its own challenges, right? Our agents are incredibly creative, and they're connected within their communities. So they really have been resourceful in identifying sellers that are not yet on the market. They're creating opportunities to match buyers with homes in their chosen neighborhoods and communities. Multiple offers and escalation clauses continue to be the norm in this market currently. So the market really requires agents to be skilled and prepared. 
 Fortunately, our platform provides over 50 hours of training every week. Now they have access to it 24/7. So our agents really are prepared to continue serving their clients and meet those challenges. 
Greg Falesnik: Great. Thank you, Dave. And this question is directed at Glenn. I know there's a really serious focus on Net Promoter Scores at eXp. So Net Promoter Score looks like it's continued to increase during the first quarter, up from last year. Again, you guys have done a great job there. So can you maybe talk to us about why this has tracked so closely internally? And what does it tell us about the agent base as the NPS improves? 
Glennn Sanford: Yes. So for me, the -- I track, as my single most important key metric, Net Promoter Score. I -- and there was a couple of books that I read a number of years ago. The -- Stephen Denning's, The Leader's Guide to Radical Management and then book, The Ultimate Question 2.0. And once I sort of internalize why it's so powerful as a tool, it really allows us as an organization to actually serve the needs of agents more intimately through one basic question, which is, on a scale of 0 to 10, how likely is that you would refer a friend or colleague to join eXp Realty.
 So that's one of the questions, but we also ask that in numerous different places in the agent life cycle. How was the transaction? How was the training? How are you? Like how was your onboarding experience? And we get real-time data that we're able to actually use to actually improve the process for the next agent that comes through that particular process. 
 So it gives us really great data around that, and it allows us as an organization to circle the customer rather than trying to just sell to customers. And so by providing service to customers, which are, in our case are our agents, it makes us as an organization more valuable to them. And then as a result, eXp is just much more sticky. 
 In the early stages, I referred to myself as a focus group of one, which is great when you're starting a company. But eventually, you want to be able to listen as intently as possible to your actual agents. Of course, you've seen the numbers, and we publish them, but we're in the 70s now which we've seen historically when we're above 70, we're growing very fast. We're very sticky. We have low attrition. And so that, for us, when those numbers are up there in the 70-plus category, all of our jobs are easier as a management team and as a staff, which actually makes eXp a more enjoyable place to work than when there's a lot of chaos and there's a lot of agents having challenges. So it's good for the agents, it's good for us staff-wise, and so it's just a great way to operate a company. 
Greg Falesnik: Good stuff. Yes. You guys have done an awesome job there. And maybe a question for Jeff, and then I'll pull a few from the Slido Q&A. 
 Jeff, I think we were looking at this, and you bought back $34 million of stock during the first quarter, which is actually larger than the total authorization of the buyback program when it was first initiated. So clearly, you guys have stepped that up as you've grown, and this is maybe a good opportunity to walk people through and maybe remind us on what your philosophy is around managing the repurchases, and how you're thinking about that going forward? 
Jeff Whiteside: Yes, absolutely. So we got a lot of feedback from investors since I've been here, and I'm sure from Glenn's early days, about dilution in the stock. So a big part of our agent value proposition is to provide agent ownership, equity ownership in the company. So it's massive, it's a big deal for us, and the investors' concern was dilution. 
 And so basically, what we've done with the buyback, Greg, is we've -- our goal is to offset the agent equity awards from a dilution standpoint. So after we get to the end of this year, our goal is to have 0 dilution from the awards that we've given out in -- as part of our model. 
 So it works for both sides, and we're very happy. We think it's a great investment with our cash. We look at our cash balance and we make sure that we have the proper amount of cash to invest in the company to grow, and we believe we have that. So we have a limit in terms of what we want to make sure we have, and anything above and beyond that goes to the buyback. And so the goal is to offset the dilution, and that's kind of what we're working on this year. 
Greg Falesnik: Great. Really helpful. And Dave, maybe just a couple more questions for you as well. What we're seeing now that -- I guess the question is what are we seeing now that we're over a month into the second quarter here? I guess have you been surprised with some of the dynamics of the U.S. residential real estate industry? And like what do you foresee happening as we look out throughout the rest of 2021? 
David Conord: Sure. Yes. Greg, we're seeing the usual seasonality of the market. It's strengthened by a general shuffling of homeownership in many markets as a result, from all the work-from-home opportunities caused by the COVID pandemic. 
 After last year, everything is a little bit different. But first of all, we continue to be really impressed by the resiliency of our agents. They've really responded well to the changes in the market. A combination of historically low rates, and increasing home equity is really continuing to create demand. So we anticipate the market will remain strong. 
Greg Falesnik: Okay. Very helpful. And obviously, there's just such a major market share opportunity here in the U.S. That remains -- we talked a little bit about the U.S. growth and in international growth. And just maybe if you could comment briefly on balancing your approach to entering new markets, with continuing to capture market share in the U.S., specifically in the U.S. So some comments maybe on how you're moving into more urban areas, densely populated areas, if you could? 
David Conord: Sure. Yes, I mean fortunately, with our model, it really allows us to expand into the other new markets internationally, with speed and comparatively low capital investment. So it really doesn't impinge our ability to grow here domestically. 
 Our model is different from a franchise model or a larger-structured model or even an independent brokerage model where there has to be economies of scale in order for it to work. They have to have a certain agent count and a certain production amount to drive the revenue to make it worthwhile to have the physical space, the staffing, the leadership and the management, et cetera, all of the costs that go along with that. Where we can drop into virtually any market in the United States, large or small and pick up a single realtor, there may be a spot in a more remote area where maybe there are cattle farms, valuable land, but not enough space to have a lot of realtors in that area. And we're able to go in there and find the top agents and the agents doing business there and have them be on our platform without having to invest large amounts of money and resources and staff to be able to serve that. So that really opens up the entire United States to us. It's easy for us to go into any city or any rural area and everywhere in between. Really, our growth is unlimited for those spots. 
Greg Falesnik: Thank you, Dave. Yes. And Glenn, a couple of questions directed at you from myself and from the Slido presentation. The SUCCESS acquisition was really interesting in that you've continued to focus on personal development, especially for your agent base. Would you mind talking a little bit about kind of how that's folded into the eXp ecosystem? And then maybe sort of what's changed in a major way since coming under the umbrella of eXp? 
Glennn Sanford: Yes. So we've been mailing the magazine since 2019 to all of our agents. Like it maybe -- 2018, we may have started sending that out. And it really was because it was something physical from eXp that showed that we cared about our agents. We did it on our own dime to kind of reinforce personal development as something that is important in sales and in life, for that matter. And so with that, obviously, came the opportunity to acquire the magazine. 
 Since then, Ted Latz, who's in the room here with us today in the audience, but he and a number of people have been working on extending the brand beyond the magazine and the digital history that it's had, into things that are additive to the real estate industry indirectly. And one of those is -- and this is one I'm really excited about is the success co-work franchise. Because as broker-owners in the residential real estate space work to convert their real estate office to eXp in a cloud-based way, then the question is, what do I do with my space? What do I do with my office? 
 And so with the SUCCESS space co-work opportunity, for those who have the right type of space, it creates a way that they can actually go and convert it to a 125-year-old personal development brand that reimagines the co-working space to actually provide coaching, training and help to entrepreneurs and others. So it creates a really unique ecosystem. So we talked about the Speaker's Bureau, we talked about some of the other things that are core to SUCCESS. But then we're also looking at what are the lever points to reinforce the eXp brand proposition, and looking at how it ties to luxury, how it ties to rewards and recognition. 
 So there's a lot of different overlaps. And of course, I'd be remiss not to mention that we've now started to build relationships with other people, huge influencers because of our association with success, not the least of which is Grant Cardone and all the things he's doing. And part of the attraction to the eXp Realty model was, in fact, the fact that eXp is now the owner of SUCCESS Magazine, and so there's opportunities to do things with big influencers in the residential real estate space that normally wouldn't take place without writing really big checks. And so it's kind of giving us a sort of under the radar marketing platform to actually get other influencers into the eXp ecosystem to provide coaching, training and support to our agents-brokers around the world. 
Greg Falesnik: That's great, Glenn. Thank you. And a question from Slido, as we're talking about other sort of segments within the eXp umbrella. What other clients is VirBELA working with right now? Any notable that have sort of popped up? And how is it helping to bridge the gap as more companies, schools and day-to-day activities are still remote? 
Glennn Sanford: Yes. It -- so we're now in a position where the offering last year at this time the -- VirBELA was just one of many technologies that companies were scrambling to try in the short run to solve for all the -- the fact that all of their employees were home, their work events that they could do in real life. They still wanted to try to figure out some sort of event. 
 So last year was all about sort of a brainstorming and -- around how do you do a remote organization. How do you -- what is the stuff you put together. Obviously, Zoom is still probably the predominant way that people are doing meetings. But what we found now is that we finally matured the offering. We've got great relationships with a PwC, HTC. We've got, obviously, the Stanford has been with us for quite some time, but we've got lots of big events. And a lot of the big tech companies are now looking at using it for parts of their organizations. 
 And so our client base is starting to actually get some depth rather than just a shallow, we need something right now to, wow, this thing actually has some legs and has some potential. So we're starting to see some of the bigger contracts that we had hoped for last year, starting to be more noticeable. And those conversations are going further into actually getting done. We had to do a lot of stuff around info sec, information security, and that was a big one, especially when we're talking to the likes of these large organizations that have these big security audits. And we've had to do a lot of things around that. So that's been a big part of the engineering. 
 And then we're also developing new tech to make this more deployable as we continue to scale. But we've got kind of the group of 50 or so relatively large bunch. You can certainly go on VirBELA.com, read about some of the case studies there. And so it's continuing to flow out. Jeff, you know some of the other clients -- some of the clients as well. 
Jeff Whiteside: Yes. I mean one thing that's really interesting is that a large percentage of their customers are coming from overseas, all right? So we have people in Japan. We've got people in Korea. We've got people all over the -- all over Europe, actually, and now we're in Asia. 
 So that was really interesting because I think they're -- a lot of those countries are really moving towards this type of work. And what I'm seeing, Glenn, is as we talk through bigger customers and we talk more and more about this, this is still the only platform that exists end-to-end where you can run your entire business and scale it globally, like we do at eXp. And I think the other thing I'd mention, too, is that as we form new partnerships in our companies, SUCCESS is an example, but there's a lot more on the horizon. They start looking at this and they're saying, "Wow, this is a great way to work." So it's -- we're building it out that way, too. 
Greg Falesnik: Right. Really helpful. And this is actually a really interesting segue into the next set of questions, and I'm not sure who this would be directed at. But I'll say it and let maybe Dave jump in or Glenn. And the question is, how do you decide which country to enter in eXp Global? 
 And then just sort of as a follow-up on the tag-along to that, how are you ensuring that the agents in new markets get sort of the same sort of support as agents in the U.S.? 
Glennn Sanford: Yes, I can jump on that. So the selecting of countries is -- Michael Valdes, who ran international for realty for quite a number of years, has a really deep experience in international growth. The interesting thing is, is that when he joined us, he joined us right sort of as COVID was taking place. And so he didn't have to jump on a plane. He was typically on a plane and traveling 150 to 200 days a year in his previous role. So he's been able to open all the countries that he's opened up since he's been here without getting on a plane and going to those countries. And because of our virtual world, we're able to co-collaborate in real time as if we were in real life in each of these countries. So he selects the countries, make sure it fits the model, make sure that we've got the right leadership in place in those countries, make sure that we've got the right staff, contracts. Works with our legal team, make sure all the legal and everything else is done. Which, in reality, is a fairly inexpensive lift for the amount of potential benefit that we're bringing into the marketplace. 
 So we've got definitely work that we do, but it's really a collaborative effort to find the right leadership, make sure that the countries are large enough for us to go and do the heavy lifting, which isn't that heavy. But that's how he prioritizes it, which ones are going to be the -- have the biggest impact and where can we make the biggest impact in the shortest period of time. 
 But our goal is eventually to be in 100 countries. So this year, we'll be in 20. Next year, we'll probably add another 15. 10, 15, 20 countries next year. So within the next 4 to 5 years, we could be in 100 countries and then be scaling. But our ability to scale, because of the way we use all these collaborative technologies, is pretty easy. Really, the language barrier is probably the biggest challenge, just making sure we've got a great way to translate and to understand culturally what real estate is like in other countries, so we can make sure our systems match up with what the customary process is. 
Greg Falesnik: That's incredible and very helpful. Thank you for that. A question related to G&A for you, Jeff. One of the analyst wants to know just a sense of what G&A expense dollar growth is likely to be for calendar year 2021. 
Jeff Whiteside: Yes. So we're looking at -- when we look at 2021, we look at kind of percentages. And I think when we -- we're looking at somewhere around a percentage of the 8 point -- no, around a -- I'm sorry, probably somewhere around 6.5% overall for the year. That's kind of what we talked about a little bit this morning. 
 So we're leveraging as the revenue goes up, but we used to be at 10.3%, right? So the company was much higher for logical reasons. But we are getting productivity, and we see this year, the SG&A number coming in somewhere around 6.6%, 6.5%. That's kind of what we're targeting. We're not -- again, one thing I want to make clear is that if we have an opportunity to grow, and all this -- a lot of our growth is being hit on the SG&A line. So international growth, commercial growth, we're going to do that. We are doing it. So if we have an opportunity to invest now for a bigger return in the future, we'll do that. But we are getting leverage and the leverage looks like it's going to get us to somewhere around 6.6% as a percentage of revenue this year. 
Greg Falesnik: That's a really good point, Jeff. I mean I've seen the company over the last several years do this quite a bit, just think strategically and invest in -- ultimately, it's paid off and helped us achieve the growth we've seen today and continue to see. 
 So really good segue into the next question. I think from an M&A perspective, Glenn, are there any areas you're specifically prioritizing? And things that you're searching for that could potentially be in the next 12 to 24 months? 
Glennn Sanford: We'll continue to look for products and services that could help agents sell more real estate. Obviously, on an international basis, there's a lot of different tools, technologies and companies that may be able to go country to country. But because of the way that countries operate totally differently, may not get the understanding of the different markets that we might in operating in multiple countries. So I could see us acquiring some tech platforms that help us create an analog to an MLS in these other countries. Like Mexico, for instance, and as a lot of countries are -- it's a -- real estate is a fairly fragmented business. It's not well organized from a personnel perspective. And in some cases, and Mexico is one of those countries where there's not a -- in a lot of the country, there's no licensing requirements attached to it. So with that, we're -- we see some reasons why certain tech might benefit the organization of real estate in a way that actually makes real estate more accessible to consumers, but also the professional real estate people more organized from an agent perspective. 
 So there's a number of them. CRMs that are certainly always top of mind for me. I'm always looking for something innovation -- innovative on the CRM front. We want to be able to integrate with all the other systems that we're building internally. We're investing heavily in automation of the transaction management workflow. So that's going to be something that, hopefully, by first quarter of 2022, we're going to be able to roll out some automation that just helps the agent using some AI, some image recognition, data processing, machine learning, we think we can streamline a lot of the sales process. 
 So those are the types of things. We could be looking at things in the tight escrow space. Mobile notaries would be another space that would be kind of cool to be involved in, and thinking about the entire vertical chain in the residential real estate space. 
Greg Falesnik: Right. Okay. And obviously, everything you're looking at is to accelerate growth or increase margin in some capacity. So that's helpful. So really the last question, I'd like to sort of leave things off with, and this is for anyone to comment, but sort of long-term goalposts. I think a lot of people are wondering, and I've gotten this question a bunch of times here. What do you expect the company to look like in 5 to 10 years? And this could be related to profitability, revenues, agents on the platform, countries you're in. Just sort of an open floor and curious to know what you think about that. 
Glennn Sanford: Well, it's one where you do the math and obviously, we get pretty large into the hundreds of thousands of agents on a worldwide basis. And so for that, I think the continued emergence of ideas from self-organized teams inside of eXp to become its own -- a city, for all intents and purposes, with all the products and services that an agent and their clients could want. And so that's where we think about eXp as being a platform. It's a platform for real estate professionals. It's also a platform to support real estate professionals and their clients, and to create an ecosystem where people can participate in various different ways. 
 So the way I think about it is there's 500,000 people eventually on the platform. I might be ambitious to say that that's a 5-year goal. But some place in the next 10 years, we will certainly be something akin to that. And then just thinking about all of the various different places where we can allow innovation to take place and to provide a platform for people to innovate on all kinds of parts and value stream, from coaching, training, lead gen, to relocation companies, to unique title and escrow offerings, to mortgage, to all of this stuff. It's on the verge of starting to emerge 
 And so I think if we look out 2 more quarters, we'll start to see some of these actually taking root and then also creating some fruits from what's going on. So Express Offers would be like one of those first ones where it was a unique offering. We are the first ones to kind of bring this unique way of aggregating buyers into a platform to create a high-buyer-like experience. And then we've got a number of other pieces on the SUCCESS side and how it integrates with it. How the frame VR piece integrates with it, and being able to set up virtual offices from mortgage companies and title escrow companies and other things in the residential real estate space. 
 I think all of this creates a different ecosystem when we start to look out a couple of years from now that we will just look different. 
Greg Falesnik: Great. Well, I guess I'll just -- I'll stop there and make a general comment that I personally believe it's amazing what you guys have been able to accomplish your agent-first approach has created some massive opportunities, not only for the agents, but clearly for the company as a whole. So congratulations to the entire eXp team on the company's continued explosive growth. .
 With that, maybe I'll turn to you, Glenn, for some closing comments. 
Glennn Sanford: Sure. I did -- I got at least one direct question. So somebody messaged me just asking one of the questions was around the upcoming shareholder vote around the authorized shareholder that it increased to 900 million shares. I just want to touch on that because I do get this question quite a bit. Like doesn't that dilute the company? And it actually -- all it is, is just the number of shares the company has available to use for various purposes. So when we did the stock split back -- a couple of months back, we could only do a 2-for-1 stock split because our authorized was such that we couldn't do more than that. Even though the stock was trading, at that time around $70 a share, by doing a stock split effectively browsed to $35. But we felt internally that maybe getting it back into a range of around $20 a share would have been more ideal. So we're blocked on our ability to do that, just because our current authorized didn't allow for that. 
 So by having that extra flexibility, it's not dilutive in any effect -- in any way other than if we went and bought somebody with equity or we use that, and that would then be the dilutive factor, but we would do that from a business case perspective, not a "dilutive perspective."
 So when you do a stock split, there's actually no dilution on a percentage basis, it's simply a -- increasing the number of shares, and that makes it better for our stock programs for our agents and brokers. So I just want to address that one because that one came direct to me and addressed that. 
 To wrap this up, first of all, thanks, everyone, for coming. I know that it's -- I'm honored. I know that all of us are -- at the eXp, are honored to grow this company on behalf of our agents, brokers, staff, consumers. And ultimately, if we do a great job, it's going to reward us all as collective shareholders well. And that's really our focus is to build a great company, recognizing that over time, that will provide the results to everyone that everyone is looking for in being involved in what we're doing. And it really comes down to iterating around the agent value proposition. We truly want eXp Realty to be the most agent-centric real estate brokers on the planet where agents literally would be irresponsible not to have their license with us. And not just financially irresponsible, but just the way that we're supporting them collaboratively and through all of the different innovations that we do here. 
 And obviously, it extends to the other companies as well. These are all companies that synergistically work together to deliver this value proposition and then extend that into other spaces and other industries. But our primary goal is to build the largest real estate brokerage brand, not based on trying to get agents, but by trying to create the best agent experience and get there through innovating around the agent value prop. 
 So I want to thank everybody for coming. Looking forward to seeing many of you here in just 1.5 weeks or so at our eXp Shareholder Summit, which would be back in the EXPI World that you're in now. We'll have expos, we'll have a lot of keynotes, we'll have, obviously, our shareholder meeting, which will, I think, is actually technically only about 45 minutes long. But inside of -- that's 3 days in-world and a couple of days in real life in different parts of the country. There's going to be a lot of stuff that you're going to be exposed to and hopefully get a chance to rub shoulders with agents, brokers, staff, ask questions, learn more about what we're doing to really change the business in favor of the agent, give them something that ultimately allows them to thrive and grow as individuals and as real estate professionals. 
 So with that, I'm going to -- I'll sign off. But thanks, Jeff. Thanks, Dave. Thanks, Greg. And let's see if anyone has got anything else to say. 
Greg Falesnik: No, I think we're good. Thank you very much. Appreciate your time. 
David Conord: Thank you, guys. Thanks, everyone, for being here. 
Glennn Sanford: Thanks, everyone. 
Jeff Whiteside: Thank you.